Operator: Ladies and gentlemen, thank you for standing by and welcome to the KnowBe4 Third Quarter 2021 Results Conference Call. [Operator Instructions] Now, it is my pleasure to turn the call to Ken Talanian, KnowBe4, Vice President of Investor Reporting.
Ken Talanian: As a reminder, our commentary today will include non-GAAP financial measures. Information regarding our non-GAAP financial results, the limitations and reconciliations of our GAAP and non-GAAP results can be found in our earnings release, which was furnished with our Form 8-K today with the SEC, may also be found in the supplemental financial information available on our Investor Relations website at investors.knowbe4.com. In addition, some of the comments today, including those related to our guidance may contain forward-looking statements that are subject to risks, uncertainties and assumption. Should any of these materialize or should our assumptions prove to be incorrect, actual company results could differ materially from those projected or implied during this call. These risks are described in our Form 10-Q, that will be filed following this call. These documents can be found on the SEC's website sec.gov and on our Investor Relations website. During today's call, you will hear prepared remarks from our Founder and CEO, Stu Sjouwerman; and CFO and Co-President, Krish Venkataraman; Lars Letonoff, our Chief Revenue Officer and Co-President will join our question-and-answer session. And with that, I will turn the call over to Stu.
Stu Sjouwerman: Thank you, Ken, and thank you all for joining us today. We're excited to share our results with you this morning building on last quarter's strong performance, we exceeded our guidance. We had a record quarter with over 40% year-over-year annual recurring revenue growth. As many of you know, I started KnowBe4 to help organizations' manage the ongoing problem of social engineering. We are the only public company dedicated to securing the human layer. The emphasis in cybersecurity has traditionally been on legacy controls. However, the exponential growth in cyber-attacks and their relative success proves that we cannot solely rely on security software infrastructure. According to the newest Verizon 2021 Data Breach Investigations report, 85% breaches involved a human element. Ignoring the human element of this equation leaves organizations' of all sizes vulnerable, which is why we are dedicated to helping our customers transform their employees into a successful last line of defense against cyberattacks. This problem is not going away. It is escalating. Just last week, in fact, Wall Street Journal reported that the group behind the solar winds attack is actively targeting the global supply chain by exploiting the human layer with social engineering attacks. The regulatory environment continues to evolve in response to the growing threat landscape as well. In fact, a Director at the NSA recently stated that the U.S. will have to contend with ransomware attacks every single day for the next five years. We believe these actions help validate our market opportunity, and provide a catalyst for new business growth. I will start by summarizing key results and activities for the quarter. Third quarter results exceeded our expectations across the board with continued growth and strong free cash flow generation. Our inside sales motion continues to win both new enterprise and SMB customers across all industry verticals. This resulted in $262 million in ARR ahead of our expectations, and up 44% year-over-year. We have established a market leading position in the human centric cybersecurity space and remain focused on continuing to innovate to meet the needs of our customers. Our vision for the security awareness market finds KnowBe4's product roadmap, and this includes both exciting new features and new products. Our recently announced acquisition of SecurityAdvisor is yet another example of our commitment to our vision of the market. With the acquisition of SecurityAdvisor and future integration into the KnowBe4 platform, we are making a big bet to transform alerts from other leading cybersecurity layers into real time opportunities to change human behavior. With this, we believe, we are creating a new category in cybersecurity called Human Detection and Response or HDR. How this works? As we connect to these other security layers through their cloud interface and pull in their alerts, so we can analyze them and then take real time action. We believe the new SKU, we plan to create with this acquisition should give us an incredible upsell and cross-sell opportunity given the estimated $5 billion TAM associated with this new category. The next several months will be spent integrating the product into the core KnowBe4 platform building in automation capabilities and extending the ecosystem. We anticipate solid traction with this product over the next few years. The SecurityAdvisor teams maximum earn-out payment is based on sales of the new product reaching 40 million in ARR by the end of 2024. Our organic product development remain strong as well. During our inaugural KB4-CON EMEA Conference, which had in excess of 5,000 registrations, we announced the beta release of a product code named PasswordIQ. This is another exciting product that we expect to be of interest to customers of all sizes and all industries. To be clear, this is not a password manager. Password IQ is used to mitigate the risk around password hygiene issues, such as weak or breached passwords. The product continuously monitors your organization for any issues detected with users passwords. It organizes this data on an easy-to-read dashboard and allows for automatic employee training based on detection of any password risk. As with our prior product launches, we expect this product to further expand our cross-sell capabilities. We will provide an update on our expectations for this products during our Q4 earnings call. Given the backdrop of state sponsored threat actors, who continue to take advantage of bad password hygiene, we believe this product will be a welcome addition to our customers defenses and an additional cross-sell opportunity. Our technology leadership is a key factor and the strong momentum in our new business wins, represented by further penetration in the enterprise market. We also continue to see strength and best-in-class retention across our existing customer base. Customer growth remains strong across both SMB and enterprise with our total number of customers now reaching over 44,000. Our current customers are investing in our KMSAT platform and adopting our additional PhishER, KCM GRC and now Compliance Plus products at record levels. As of the end of Q3, 19% of customers now have subscriptions to multiple products. That is up from 12% at the end of Q3, '20. Organizations across all verticals and sizes continue to see value in our free tools and thought leadership webinars, which we utilize to generate leads for our inside sales team. As in previous quarters, we also saw customers by both KMSAT and PhishER together to leverage the immediate risk reduction that PhishER brings to their organization. Though, we do not report the growth for PhishER Compliance Plus and KCM GRC separately, the combined logo growth and revenue growth was close to triple digits year-over-year for the quarter, the continuation of the cross-sell success seen in the last quarter. In terms of new business, most of our wins continue to be greenfield, but we also saw a number of competitive displacements. The greenfield wins continue to show that the value of security awareness is resonating with customers, and our platform stands out from the competition. We believe our competitive wins are further proof that our platform and customer support rank well above our competition. We continue to see success in our Enterprise segment, which had several big wins. And to give you some examples of mega enterprise wins, we had an 80,000 seat win with a global bank based in Europe. Also in Europe, we closed a 60,000 seat deal with a multinational consumer electronics store chain. We closed a 45,000 seat deal with a large U.S. retailer, as well as an existing media trial customer. And we closed a 40,000 seat deal with a global transportation services company. This was a great example of a deal we won by having an internal champion. Our key contact discount brought us to the RFP at our previous company, and we were one of the first call, she made upon arrival at our new job. In Europe, we closed a 19,000 seat deal with a multinational chemical company. This is a customer, who churned away from us, use the competitor and saw the value in coming back to our platform. In Japan, we closed a 16,000 seat deal with the multinational electronics company. In the Middle East, we closed a 15,000 seat deal with the national oil company in a competitive bake off against two competitors. We believe these wins and others demonstrates that our customers continue to embrace not only the considerable risk reduction our platform brings, but also the 1,000 of hours, we save the IT department in triaging security events. Given the current shortage in skilled IT workers, our strategy of building time saving features into our platform has paid off. This also remains a critical focus for our product roadmap. Outside of the commercial space, the Government segment continues to be a strong vertical for us. In the U.S., the cyber division of one of the largest cities in the world purchased 150,000 seats in a deal, where we displaced multiple vendors. In the same city, a large public healthcare organization purchased 65,000 seats. We also saw then 80,000 seat deal to a federal government agency in a competitive displacement, where they favored our automation capabilities. We continue to see traction in the education sector as well. In a greenfield opportunity, Public University system in the U.S. purchased 76,000 seats across the globe. We closed a 12,000 seat deal with an Australian University. Before I turn the call over to Krish, I would like to thank our employees and partners for the dedication, commitment and customer focus that has brought KnowBe4 to its market leading position today. I'm incredibly proud not only of our financial results, but the great group of people driving this company and are contributing to our communities. We are as focused as ever on bringing high quality and diverse talent in the door, and this has not gone unnoticed. We were recently included in Fortune's Best Places to Work for Millennials and Mogul's list, the top 100 workplaces with the best diversity and inclusion programs. And even more recently, we received the Readers' Choice Award from security Insider Magazine in Germany. KnowBe4 was selected as the winner in the category security awareness, which we believe clearly shows our position, as a top rated security awareness provider in EMEA. And those are just a few examples of the great work we're doing behind the scenes. And I look forward to giving you an update in the quarters to come. And with that, I would like Krish to discuss our financial trends.
Krish Venkataraman: Thank you, Stu, and good morning to everyone. As a quick reminder, unless otherwise noted, all numbers except revenue mentioned during my remarks are non-GAAP. As you have heard from Stu, we continue to see strong performance across the business with ARR for Q3 accelerating organically versus the first and second quarter of this year to 44% year-over-year growth. This is on the heels of over 40% growth in Q1 and Q2 of this year. Q3 growth was driven by another strong quarter of new logo additions in enterprise and SMB, global expansion and continued cross-sell to existing logos. Our platform continues to perform well across all geographies to customers of all sizes, and industry. I want to remind everyone that a key pillar of our model is the ability to efficiently scale to customers of all sizes from organizations with than 100 seats addressed by channel partners to customers with 100s and 1,000s of employees served by our hybrid inside sales model. We have continued to focus on four pillars of growth, new logo expansion, cross-selling to existing customers, international expansion and channel expansion.. We saw success in each of these areas throughout Q3, and it is a continuation of the growth we experienced in Q1 and Q2 of 2021. Our first pillar of growth is new logo expansion. Today 88% of our logos are in the SMB space, which we define as organizations with less than 1,000 employees and about 12% are in the enterprise space, which we define as organizations with greater than 1,000 employees. There, we have seen significant growth over the past few years. We are very pleased with the sales execution this year, given that the customer cohort for 2021 has already surpassed what we built for the full year 2020. Our enterprise traction is a proof of not only the ability to move up market with our current go-to market model, but the strategic importance some of the largest organizations in the world now place on our platform. This continues our trend of penetrating the enterprise market over the last couple of years. We have made very strong progress in selling into Fortune 500 U.S. companies, and are continuing to make inroads into the global 2000. This is evident by the number of examples, we have shared with you in the global enterprise venue. In Q3, we saw a robust ARR growth that was balanced between enterprise and SMB customers. Although, we saw strong growth across all segments, SMB performed particularly well this quarter. To remind everyone, we are always trying to drive towards an evenly balanced AR mix between SMB and enterprise. Our second pillar of growth is cross-selling to existing customers. We continue to see strong interest across both new and existing customers in the power of our global platform. As of Q3, about 19% of customers have subscribed to multiple products, and we continue to see strong interest among new customers in purchasing multiple products within their first purchase. To give you some perspective at Q3, 2019, we had about 1,600 customers or about 6% of our 28,000 customers with multiple products. Today, approximately 8,500 customers or about 19% of our over 44,000 customers now have multiple products. As you can see, with a 130% CAGR, we have made tremendous progress here. Our success is in part due to our large base of SMB, many of which are quick to see the value of purchasing multiple products, and enterprise customers seeing the value of our global platform capability. As a reminder, we don't bundle our products. We prefer to cross-sell the product, as this results in premium pricing for add-on products versus discounting. As an example, year-to-date PhishER represent approximately a 46% increase in ARR for SMB and 36% on enterprise with a standalone KMSAT sale. Our multi-product strategy is seeing considerable traction with the combination of PhishER, KCM GRC and now with the addition of Compliance Plus. We are also seeing record levels of customers with three products, and even a few that have all four products. These deals are closed without having to bundle products. Year-over-year, PhishER, Compliance Plus and KCM GRC combined have seen nearly a triple digit revenue and a triple digit logo growth. Our cross-sell motion continues not only to help expand AR base, but also increase retention. We have found that customers, who bought both KMSAT and PhishER get more value from our platform, and as a result, a much stickier customer. We remain committed to bring innovative products to our customers and ultimately driving shareholder value. The launch of Compliance Plus in early June, is yet another example of our ability to innovate on the human layer and add complementary products to our platform. So it's still early in the launch, Compliance Plus has seen similar results to what we saw from PhishER in its initial launch. The total ARR for Compliance Plus in the first four months post launch was similar to the trend we saw with PhishER in its first four months. This a very positive indication to the power of our cross-sell motion. As Stu mentioned by the second half of next year, we expect to have six products to sell to new and cross-sell to existing customers further enhancing our platform capability. What we are noticing is that some of our customers, particularly large enterprise have trended towards signing multi-year deals with us. We believe this reflects the recognition we have received from third party research organization, as well as the clarity domestic and international customers have in our business, as a result of KnowBe4 going public. Our third pillar of growth is expanding internationally, penetrating international markets remains one of the key pillars of growth strategy. Our international revenue grew close to triple digits year-over-year to yet another record breaking quarter. Domestically, we continue to see strong momentum with about 35% year-over-year revenue growth, in international markets, we do see more enterprise plus go-to-market motion versus the SMB first motion that we started with the U.S. On the international expansion, we continue to focus our investments on hiring key talent in marketing, sales, content and customer support. We have made several key hires in the UK, Germany, Australia and Japan and are laying the foundation of talent to scale across the globe. We are also pleased that we will add a strong R&D team based in India when the SecurityAdvisor team is onboarded. Lastly, our fourth pillar of growth is channel expansion. We continue to focus on expanding our channel presence to accelerate growth both internationally, as well as domestically. We have invested in hiring a number of key resources in our channel team and building marketing and distribution capabilities for our channel partners. Throughout the quarter, we have made great progress in growing both our number of channel partners and deal volume generated from them. Now to give you some details on the quarter. Both new and existing customers have witnessed the ongoing problem of social engineering worsen over the last year. We continue to support our customers with our platform reach, which includes integrating capabilities around security awareness, security orchestration and automation and compliance. In the third quarter, total annual recurring revenue reached 262 million, up 44% year-on-year. Our AR growth was driven by another strong quarter for new logo additions and continued expansion of cross-sell to existing logos, as well as strong retention. Just to remind you, we have seen over 40% growth in ARR in each of our quarters this year. Our total customer count for the quarter grew to over 44,000, up from about 35,000 in Q3, 2020. That's a 26% increase in customer count in just a year. And as I mentioned, we now have added more customers in the first nine months of this year than all of last year. This is a phenomenal achievement by our global sales and marketing teams and drive the value proposition of the platform. Logo churn was comparable to historical levels. Gross dollar retention, which in our case has been very strong concerning our mix of SMB and enterprise reached the highest levels we have seen. This even beat out our strong levels in Q1, 2021 and Q2 of 2021. We believe our increased retention is in part due to the success we have demonstrated through our cross-sell efforts and multi-product capabilities on the platform. Furthermore, our lower retention and cross-sell percentage are at one of the highest levels ever. Hence, the effect on retention rate has been very positive and increased every quarter this year. In Q3, total GAAP revenue grew 42% year-over-year, reaching 64 million, which was well ahead of our expectations. We continue to execute at a high level and remain focused across all our four pillars of growth. Geographically, the vast majority of our revenue was derived from North America. At the same time, we believe there is a sizable addressable market for KnowBe4 internationally, and we continue to invest across both EMEA and APAC in both KnowBe4 personnel and expanding our channel relationship. 15% of our revenue now is derived from international market, representing approximately a triple digit increase in international revenues year-over-year. While we are still early in our international expansion, our strategy of investing in these markets is producing result, and we are adding marquee global brands to our client base. Since Q3 of 2020, we have added approximately 59 new heads to the KnowBe4 international team. Over the past two years, we have opened offices in Australia, Japan, Norway and Dubai. We've also completed building our shared service center in the Netherlands to help drive long-term support for our clients and our sales team. With the addition of SecurityAdvisor, we are adding another center of excellence this one in India. We remain committed to ensuring we have the right resources in place to execute on our international expansion. Investments in R&D and product will continue to be a key part of our investment strategy. As part of our philosophy of running the business, we remain focused on sustaining a high growth with strong margin. Third quarter non-GAAP gross margins improved to 85.4% from 85% a year ago, as we gain efficiency with scale. As we continue to scale our international business, we expect non-GAAP gross margins in the low to mid 80% long-term. Total non-GAAP operating expense for the quarter was about 51.8 million versus about 37.8 million for the same quarter last year. We continue to invest in the headcount across the business, which drove the vast majority of the expense increase this quarter. We have seen and expect to continue to see wage inflation in the U.S. due to both current labor market condition and the dynamic that is developed due to remote working. As we continue to invest globally by building centers of excellence around the world, we assume we will diversify some of these tight labor market condition. Non-GAAP sales and marketing expenses, as a percentage of revenue were lower year-over-year, as we scale the business. We continue to invest in sales capacity in our core market, and while we are still early stages of international expansion, we expect to deploy additional resources to support growth in this market. As an example, we hosted our first KnowBe4-CON Conference in EMEA in September. We expect to invest in both sales and marketing internationally over the upcoming quarters. G&A cost increase reflects our continued effort to support life, as a public company and assist our international expansion. We are investing across legal, finance, internal audit and HR teams. This is the KnowBe4 way of building foundation capabilities first to ensure we run an efficient business. Second, debt costs have remained stable, as a percentage of revenue, but increased in absolute dollar term. As we continue to expand our product breadth, we will continue to invest in key technical talent across the globe. Our launch of Compliance Plus upcoming launch of PasswordIQ, and future investment in developing a new SKU with SecurityAdvisor technology are all examples of our evolving product roadmap. Non-GAAP operating income in the third quarter was above 2.9 million and non-GAAP operating margin was approximately 4.6%. Quarterly non-GAAP net income was about 2 million. Our non-GAAP net income excludes stock compensation expense, amortization of acquired intangibles and acquisitions and integrated related costs. Turning to cash flow and balance sheet items. We finished September with cash and cash equivalent of approximately 272 million, representing our continued focus on maintaining a high level of capital efficiency and use of cash, free cash. Free cash flow for the quarter was approximately 18 million, driven by strong cash collection, as well as sales performance ahead of plan and an efficient go-to-market. From our results, you can see, we have a resilient and cash generating SaaS model, and strong balance sheet supporting a balance of top line growth and expanding profitability. We are continuing to expand our resource pool, invest in new products and capabilities both organically and inorganically, while maintaining suitable profitable growth, as we lead this new category in cybersecurity. And on to guidance. We enter the fourth quarter with strong customer and business momentum. This momentum is being seen in all our segments and international market and across all our four key pillars of growth. For the fourth quarter 2021, we expect total revenue in the range of 66.8 million to 67.2 or approximately 35% to 36% year-over-year growth. For the full year 2021, we are raising our total revenue guidance to 243.8 million to 244.2 million or approximately 39% to 40% year-over-year growth. This revenue guidance is up from our guidance of 237.5 to 239.5 million issued last quarter. We continue to expect free cash flow margins to be greater than 20% for the full year. As a reminder, there is seasonality in our free cash flow, which can cause results to vary quarter-to-quarter. Fourth quarter tends to see lower levels of free cash flow generation driven. We typically pay out you annual companywide performance bonus during the quarter. For modeling purposes, you can assume a non-GAAP diluted weighted average share count of between 174 and 176 million shares for Q4 and 167 to 169 million shares for the full year 2021. As we look forward to Q4, we remain confident that we will finish 2021 strong. We see continued growth and momentum in the business, and we are laser focused on maintaining our market leadership in the most important layer in security, dedicated to the human endpoint and driving innovation around HDR. With that, we will open the line to questions.
Operator: [Operator Instructions] Your first question comes from Brian Essex with Goldman Sachs.
Brian Essex: Yes, maybe Krish. Question on ARR. As you expand both kind of increased penetration up market, as well as expand internationally great progress there in the quarter. It looks like a lot of that incremental new ARR is coming from new logos, as opposed to existing. So maybe could you talk a little bit about improvement in net retention rates. And as you expand feature functionality on your platform, how is reception from your existing customers with regard to some of the new products that you're expanding into. And what do you think is the potential for increasing your penetration rate within your existing installed base?
Krish Venkataraman: So I actually want to talk about AR in two different ways. Firstly, we have seen AR growth significantly especially as we grow our new logo addition, as you mentioned. But at the same time the AR growth is also being driven by cross-sell to existing logos, additional seats in our existing logo base and with new customers, we are also seeing high attachment rates associated with multiple products, which of course, drives added ARR. So across both existing as well as new customers, we are seeing strong growth from an ARR perspective. Now if you look at, we don't comment on net dollar retention, but at the same time, I can provide some color in terms of what we are seeing, especially in Q1 of this year, Q2 of this year and continuing into Q3 of this year. Given from a sales motion, we always go first with our KMSAT sale. We have seen extremely strong both retention rate from a logo perspective, which is one of the highest we have ever seen and the cross-sell percentage, as you see has reached now 19.3% of a base right, which is a substantial increase just over a year. So if you put those two key points together, they are seeing - we are seeing very strong growth in net dollar retention, and what we're seeing the momentum is growing from Q1 to Q2 and into Q3. In fact, we have seen growth in every quarter this year in terms of both our all mentioned - all varieties of our retention metrics, including both growth, as well as net dollar.
Brian Essex: Maybe if I could just follow-up. In terms of international penetration, what is the mix tend to be. I know you noted some nice large enterprise wins in your prepared remarks, but does that tend to be skewed, I guess more to - towards SMB, particularly in Europe or how are you finding penetration and where you're seeing the most initial traction, as you expand internationally.
Lars Letonoff: This is Lars. I'll take that Brian. So initially here in the U.S., we started really strong in SMB and moved up market. We're finding that a little bit different in the international markets. It's - we are selling SMB, but it's initially starting with enterprise and large enterprise. And then, as we're doing that we're expanded into SMB.
Operator: Your next question comes from Rob Owens with Piper Sandler.
Rob Owens: Thanks for taking my question, and good morning. I wonder if you could expand on the strength you guys are seeing in public sector and the broader opportunity for both Fed and SLED, as you mentioned multiple wins in those theaters? Thanks.
Stu Sjouwerman: Yes. That's a great question for Lars. Good morning, Rob.
Lars Letonoff: Yes. We're seeing - one of the things we're seeing is, we were penetrating those markets kind of on a one-on-one basis especially federal government. You have this huge three letter acronym names, and we are hitting the different offices. What we're seeing now, which is really growing fast, this is a consolidation of that where the entire organization comes in at once or in particular states or university systems, where we were initially going after the individual universities or the individual state departments. We're now seeing those organizations moving that up to the state level, and now they're coming in broad. And we're signing deals for the entire - for the entire state or the entire university system that wants. And that's actually when we go into those, we're competing with our competitors, and we're displacing them at local levels all at once and then, KnowBe4 goes in, from the top for the whole entire organization.
Operator: Your next question comes from Hamza Fodderwala with Morgan Stanley.
Hamza Fodderwala: Good morning. Just one question from my end. Maybe for Krish. Just given a lot where you talked about some of the cross-sell momentum of multiple products, the larger enterprise traction, I'm curious, are you starting to get near the point, where you're starting to see the seven figure type ARR customer deals or is that a milestone that hasn't quite been crossed yet?
Krish Venkataraman: I think if you look at the deals that we are doing Hamza, they are definitely becoming pretty large. In fact, I'll say, couple of years back and actually, Lars can add some more color also on this, we were seeing relatively we were penetrating the mid-size and the smaller size enterprise. Now literally every quarter, we are seeing really, really large deals coming in, in the enterprise segment. And one thing we're also noticing is, we are started to penetrate at a decent clip the Fortune 500 in the U.S., and more importantly, the Global 2000 at a relatively strong pace. So yes, we are seeing really large deals, and they have - they are happening pretty much every quarter. Lars, any other additional color on that?
Lars Letonoff: Yes. I think Hamza, I answered part of that question previously with Rob. We're also seeing on the government sector, again the consolidation of multiple different units all into one large sale. And again, we're seeing a lot of strength, a lot of interest with these big global companies. Again, those deals take a little longer to move through the process, the sales process. But we have a ton of that business in the pipeline right now and more coming at us each day.
Stu Sjouwerman: Yes. I can add one thing to that is we have been investing in making our platform truly global, and we have a huge amount of content now available in 34 languages, including things like the user interface and training materials and a series of other, what we call artifact, that global companies can roll out all over the world in the local language of their users there, and that gets us significant traction in Global 2000 type organizations.
Operator: Your next question comes from DJ Hynes with Canaccord.
David Hynes: Congrats on the strong results. So if I think about the portfolio of solutions, right, it's expanded pretty significantly. I think we're going to have six SKUs, be selling here at some point next year. Krish, I know you hate the idea of bundles, so I'm going to avoid that word. But look in a self-serve motion when you have a bunch of SKUs, they can add complexity to the buy-in process. So how are you guys thinking about this? Should we expect some products packaging over time that takes friction out of the multi-product client behavior, would love to get - just get some thoughts there?
Krish Venkataraman: So I'll take the first part, and I think either Lars and Stu will actually add a little bit color. You are absolutely right. I do hate the word bundle, but I think it's a sentiment that is shared by Stu and Lars equally or maybe even higher. So for us the focus has always been building incremental value on the platform, which in turns helps drive additional ARR. Now one point, I think Stu and Lars can give you color in terms of how we train our salespeople and how Stu's philosophy of pricing has been - has evolved, those things actually help drive that non-bundling concept and more towards additional ARR.
Stu Sjouwerman: Yes. If you look at what an IT professional would prefer is, they like strong single products and a combination of those that are integrated well much better than a suite because in a suite of products or a bundle of products, he always have to compromise some product or another or more than one or as we talk to the customer, we have - we do discovery we find out where the pain points are. And at that point in time, we are able to present the right way to manage that problem and upsell to other problems that they identify in that environment. And in that way, we feel we provide the maximum value. Maybe Lars can add something there.
Lars Letonoff: Yes. I'll just touch on something Krish mentioned. We train our sales team to an inch of their lives. They fully know everything about the product and they're actually very important in that they can create all the value they need to justify the pricing. And again, you know, our pricing is pretty much, we do no-brainer pricing. So there is not a lot of room there, where the customer feels like they need discounting or bundling in order to put the deal together. And then often what we're seeing in some cases, especially with CMP, we're finding that the budget for CMP is a completely different budget, than the budget for KMSAT. So we're not having two products compete against each other for the exact same budget.
Operator: Your next question comes from Joel Fishbein with Truist.
Joel Fishbein: I just have a quick one for you, Krish. SecurityAdvisor looks like an amazing acquisition. I just wanted to know what - when do you think that you'll actually start to see revenue and start to penetrate that $5 billion TAM?
Stu Sjouwerman: You take it.
Krish Venkataraman: Yes. So I'll take the first part. I think Stu would be the perfect person to talk about product evolution. Now I think the first thing we are really doing and I would say this is how we have built this company is, we focus a lot on integrating the product with high level of automation upfront itself because it helps our sales motion, which in our case is a high velocity sales motion. For the next part of this year and next year, we are going to be focusing that for the SecurityAdvisor product, so it's integrated into the core KMSAT platform. Now we expect the product to be ready to be shipped. And I think Stu can provide a lot more color on that, into the second half of next year. But this is a long-term investment in terms of acquisition, as well as product that we have put into place. So we're going to spend our time really investing in the product and integration before we get to market.
Stu Sjouwerman: Yes. Let me amplify just a bit. This is a really strategic M&A transaction. This is brand new technology that we position as human detection and response and we are going to take our time. We have said pretty much on purpose, we don't expect revenue until the second half next year and it might even be Q4. So that is - it's a conservative start. We do see huge upsell potential and also increased ASPs, simply because the price point for SecurityAdvisor is going to be somewhat similar to the KMSAT platform. And this is why we gave the existing team an earn-out based on 40 mill in end of 2024.
Operator: Your next question comes from Mike Cikos with Needham and Company.
Mike Cikos: Thanks for taking the questions here. Just a lot to like as far as the Q3 results you just put out there with the upside to revenues versus guidance, consensus estimates. And I'm trying to factor all the different, I guess details you guys are bringing to light regarding the strong operations you have out there. Can you help us think about the core upside drivers in Q3 versus where we were three months ago when we were just starting out the quarter?
Stu Sjouwerman: Any of us could take that. But I think Krish, would be the best one to give it a kick off.
Krish Venkataraman: Yes. I think, Mike, you are perfectly right. We are absolutely firing in every cylinder possible. This - if you look at the four key pillars of our growth, and I think that's important to go back to those and look at the progress that we have made across all of them, this includes cross-sell, adding new logos in the product, adding multi-product capability on the platform, channel expansion, we have seen considerable progress in all of them. And this is overall a strategic vision that Stu can actually add a little more color in terms of adding additional SKUs, additional capabilities on the platform to create further strength and provide our customers with a suite of capabilities around the human layer.
Stu Sjouwerman: Yes. If you look at this particular term, Mike, what you're looking at is still mostly greenfield and especially international, we see if it's 90%, I am being conservative, so being able to provide a platform internationally. And then upsell, cross-sell gives us what we believe is a huge potential for the next 5 years or 10 years. This is only - really only the very early days. Does that answer your question to some degree.
Mike Cikos: It does. It does. Thanks for the color there. And if I could just tack on one more. Coming back to some of the prepared remark around PasswordIQ, can you just give us a sense for how the testing, the pilots have gone so far. What is customer feedback then? And then, what is the - what's the timeline for bringing this to market more broadly?
Stu Sjouwerman: Sure. This is an early beta. We just announced it like, Krish in our KB4-CON in EMEA. We have very early users, but it is a bit too early to say how things are looking because guess what we have just finished our Cybersecurity Awareness Month. So everyone was fully focused on the end users and training them. What this product will do for the - our customer is monitor bad password hygiene. So we're looking at weak passwords, but moreover also passwords that sit in a data breach. And we will be able to get back to the enterprise essentially credentials that already have been broken that users are currently using meaning, an immediate and high risk of being penetrated and being infected by, for instance, ransomware. So we expect this product to be a good addition and a good upsell. But we're still in the process of testing, serving the customers. And we'll be able to get you a little more color in our Q4 earnings call next year.
Operator: Your next question comes from Joshua Tilton with Wolfe Research.
Joshua Tilton: Thanks for taking my questions and congrats on the results. I think it's pretty clear that you guys did very well in the enterprise segment this quarter. I'm just curious, was there a noticeable change in the mix of customer additions between SMB and enterprise. And how does the mix trend maybe versus prior quarters?
Stu Sjouwerman: Why don't you take that.
Krish Venkataraman: Yes. So, hey, Joshua, I'll take the first part, and if additionally color acquired from Stu or Lars. Now I think this trend on SMB and enterprise has been going for some time. What you are definitely noticing is the expansion of our enterprise business at scale internationally. The international market, as Stu mentioned in terms of all the product capabilities now, which are on the platform is a good strong driver of the international enterprise expansion that we have seen. And what we are extremely encouraged by is markets that we just started or more recently entered, we are seeing very, very strong global brands coming on the platform, which shows the power of the platform and the capabilities that are already built into it for global enterprise customers. The second thing that you see in terms of enterprise expansion is what you're seeing in terms of the research community coming out in terms of the strength of the platform and its capabilities. And finally, the third thing is especially in international, it's important to understand it's companies especially, which now have public level financial information that actually also helps because when you are a private company in the U.S., your financial strength are not available for everybody to see, but once you become public, it's available, and of course, that drives the reduction in length in terms of a sales motion because those questions don't have to be answered. Lars or Stu, if you guys see anything else.
Stu Sjouwerman: I don't see a whole lot more to add to that. No.
Krish Venkataraman: Okay.
Stu Sjouwerman: That's it. Another question -
Joshua Tilton: That was helpful. Yes. Just maybe as a follow-up. I kind of wanted to ask the net revenue retention question a little differently. I understand you guys don't disclose it, but in the S1, you did kind of give us enough breadcrumbs to sort of calculated NRR. Could you possibly just talk directionally, as to where the rate is today relative to that pre-pandemic level rate?
Krish Venkataraman: Yes. So I'll answer it similar to I think a question maybe Brian asked upfront. Now, it's important for people to understand in terms of our sales motion, our sales motion is, tends to be getting 100% of the seats upfront for core KMSAT. Now, especially in the last, I would say, couple of years, and you can see the trend in terms of the cross-product penetration, we have added multiple layers of products on the core KMSAT platform that are available for our customers to sell. And the one other thing, which we are honestly extremely impressed with is our continued growth in terms of core logo retention. When you add this extremely strong motion in terms of cross-sell, which is now is 19.3% of our total customer base, and you add maybe one of the best we have ever seen in terms of logo retention, you can see the positive momentum that you see in net dollar retention. So the net dollar retention is definitely in Q3 higher than Q1 and is definitely higher than Q2, and Q2 was greater than Q1. So every quarter, we are seeing strong momentum in every key metric associated with retention.
Operator: Your next question comes from Jonathan Ruykhaver with Baird.
Jonathan Ruykhaver: Yes. Hey guys, congrats on the strong ARR performance once again. I'm curious if you could talk a little bit about the, I guess, it's relatively new at this point the Compliance Plus module, just how that sale is progress? And also maybe some color on just how you're capturing that buys and relative to SAT and maybe some of the challenges you've seen or is that not the case?
Stu Sjouwerman: I'll take a stab at the first half, and Lars will grab the second half. Compliance Plus is performing quite well. We have an internal contest to beat the initial product roll out of PhishER. And to our great surprise actually early on Compliance Plus beat PhishER in the sense of monthly sales. So it's ramping up relatively quick. We are very encouraged by the direction. It's literally hockey stick. Note that Compliance Plus content, which is about 100 modules at the moment is still U.S. domestic, and we are next year expanding that to international. So we're preparing the road, like we did with KMSAT first domestic U.S. and international expansion will be next year. So this is very encouraging first couple of months. And maybe Lars can provide some color on who we're exactly selling to.
Lars Letonoff: Yes. So well, first Compliance Plus, we've entered the market with disruptive pricing, so that immediately opens the door to conversations for us, which is great when - for a sales guy. What we're seeing in the SMB space, it's a pretty simple sale and the person we're talking to is very involved in the sale. As we move upstream, it becomes a little more complicated to sell because we're having other stakeholders that we have to pull into the sale and then other budgets as well. So - but again with the disruptive pricing, our tech people that we're talking to quickly just open that door and make the referrals and pull those people into the deal. Does that help?
Jonathan Ruykhaver: Yes. That's fantastic. Yes. It does. Thank you. And then just a quick follow-on, and correct me, if I'm off base here. But it seems like KCM is - it's maybe been a little bit less successful historically relative to PhishER. I'm just wondering how you see Compliance Plus may be influencing that cross-sell for KCM, could it help facilitate a better sales motion?
Stu Sjouwerman: Yes. That's actually a very good observation. Obviously, anyone who is picking up Compliance Plus, as an additional SKU would be a lead for KCM. And we have a strong internal referral system, which will feed those leads into the KCM team.
Operator: [Operator Instructions] Your next question comes from Tyler Radke with Citi.
Tyler Radke: Thanks for taking my question. I wanted to ask you about the record new logo adds that you saw in the quarter. Maybe just unpack what was the biggest driver of the upside, whether it was kind of international channel or just kind of what surprised you the most?
Stu Sjouwerman: Tyler, great question by the way, and it's across the board. But I will tell you, we have a very strong partner program, our channel is very much ramping up. And what you see with that - with a direct sales team, they start from zero every month. But our channel sales team, once they build that partner, they get them trained, they get them selling, it actually creates an annuity, where they're just bringing us deals every month. And I think one of the drivers of that is just seeing that continuing channel business starting to ramp up, which is less effort for us, as well as you know, adding some of our additional products that's really driving that as well.
Tyler Radke: And follow-up for Krish. I mean, you talked a little bit about some of the trends in hiring, and I know you guys aren't the only ones facing some of the labor shortages and cost pressures. But just help us understand how maybe a little bit more detail, how you're thinking through that in terms of geos that you're investing in. And I guess, how are you managing through that from the standpoint of continuing to deliver upside on the margin front?
Krish Venkataraman: Yes. So I think it's important to understand that we have built now a strong geographical base in multiple places. You heard me speak about centers of excellence that we built, now we've got centers of excellence in multiple locations. And now with the addition of the SecurityAdvisor team, we are now building a footprint now in India, especially for our R&D team. I think by diversifying our workforce and that makes sense, given the strength of our and the growth of our international business, we have actually started to nearly put a lot of emphasis on international hiring. Now especially in the support teams, we built our shared service center just outside Amsterdam, and Amsterdam has got a very, very strong attraction because multi-language capabilities, great strength in terms of G&A talent, and we are using basis like that to help cushion some of the price increases from a comp perspective that every company in the U.S. is facing. So I think that's been our core strategy. And the great thing is, we have actually coming into this year, those centers are up and running and at full steam, which helps really from a margin perspective. But at the same time, I can tell you, we are all of us in software or any industry are going to feel some of the wage inflation pressures.
Operator: Your next question comes from Roger Boyd with UBS.
Roger Boyd: Thanks for taking my question, and congrats on the results. I'm wondering on the competitive front, you did some good traction with brownfield opportunities. Wondering what you're seeing out of the public email gateway vendors that bundle security awareness training, if maybe, they see more distracted as of late and maybe how that competitive dynamic has shown up in win rates?
Krish Venkataraman: Yes. So we - the first in the SMB market, we really don't compete with anyone. That's still very much greenfields without much competition coming into the deals. If you go into the enterprise side, we kind of approach that from two different angles, one would be that new business coming in, where there's a bake-off situation, where companies looking at us and multiple vendors, in that case, we pretty much win the majority of those deals. Where we're actually seeing the bundling and that kind of stuff is, are - the other half of our strategy for the large enterprise, and that's us, actively going out and coaching our competitors' customers. And in that case, it's typically a last-ditch effort, where they will go into the bundling and discounting, and they're really just struggling to keep that customer there. But again on just competitive product against product, we typically win those almost every time.
Stu Sjouwerman: Yes. The additional color there really is that for them, that's just a me-too product, and they don't necessarily spend the time, effort to increase the platform capabilities, whereas we have done practically nothing. But and in bake-offs and in comparisons, especially like Gartner and Forrester, we - all - literally all of those, we wind up as on the number one slot because we are so much further advanced in the KMSAT platform than any competitor. Does that answer your question, Roger?
Roger Boyd: It does. Thank you, both. Maybe just a quick follow-up. And the general demand for security awareness seems pretty strong, and you've talked in prior quarters about the regulatory environment and growing emphasis on security awareness there. How much is that showing up with new customer conversations? And how are you thinking about that tailwind over the next year or so?
Stu Sjouwerman: Well, if you look at new customers, they are really worried about ransomware and are really getting geared up to lockdown their whole infrastructure and a very large percentage of ransomware infections are caused by phishing and social engineering. So that is a particular strong driver, which is not stopping. As I said in my comments earlier, the NSA expects for the next five years that we have to deal with ransomware attacks literally every day. And so getting a really strong last line of defense, having that human firewall there, any organization has by now understood that, that is critical and then they do their research and they usually wind up with us.
Operator: At this time, there are no further questions. I will turn the call over to Stu for any closing remarks.
Stu Sjouwerman: Thank you very much for attending. We appreciate your interest in KnowBe4, and we do look forward to speaking with you again, soon.
Operator: Thank you for participating. You may disconnect at this time.